Operator: Good day, and welcome to the Unum Third Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Tom White, Senior Vice President, Investor Relations. Please go ahead, sir.
Tom White: Great. Thank you. Good morning, everyone, and welcome to the Third Quarter 2017 earnings conference call for Unum. Our remarks today will include forward-looking statements, which are statements that are not of current or historical fact. As a result, actual results might differ materially from results suggested by these forward-looking statements. Information concerning factors that could cause results to differ appears in our filings with the Securities and Exchange Commission and are also located in the sections titled Cautionary Statement Regarding Forward-looking Statements and Risk Factors in our annual report on Form 10-K for the fiscal year ended December 31, 2016, and our subsequently filed quarterly reports on Form 10-Q. Our SEC filings can be found in the Investors section of our website at unum.com. I'll remind you that statements in today's call speak only as of the date they are made, and we undertake no obligation to publicly update or revise any forward-looking statements. A presentation of the most directly comparable GAAP measures and reconciliations of any non-GAAP financial measures included in today's presentation can be found in our statistical supplement on our website also in the Investors section. Participating in this morning's conference call are Unum's President and CEO, Rick McKenney; CFO, Jack McGarry; as well as the CEOs of our business segments, Mike Simonds for Unum U.S.; Peter O'Donnell for Unum U.K.; Tim Arnold for Colonial Life; and Steve Zabel for the Closed Block. And now I'll turn the call over to Rick for his opening comments.
Rick McKenney: Thank you, Tom, and good morning, everyone. Three quarters away through the year 2017 has shaped up very well for the company. Our third quarter results are strong, building up the positive business trends and favorable momentum we've been experiencing over the past several quarters. Our after-tax operating income per share was $1.09, another record high for the company and a very strong increase of 11% relative to the year-ago quarter. In fact, for the first 9 months of 2017, our after-tax operating income per share has increased by 9%. This exceeds our expectations coming into the year. We now expect our full year growth to be at to slightly above the upper end of the range of growth of 5% to 8% we established last quarter. Jack will discuss the drivers of the performance in a moment. From an overall growth perspective, we also feel positive about the top line, which saw premiums grow 5.5% in our core operating segments this quarter, excluding a reinsurance transaction, and our overall benefits performance remained stable. This financial performance continued to be driven by our Unum U.S. and Colonial Life segments. Both businesses are producing great results, with good sales momentum and persistency driving solid premium growth. Combining our stable benefits experience and well-managed expenses, we continue to produce leading profit margins. Our Unum U.K. results are running slightly below our expectations due, in large part, to the uncertain U.K. environment. And finally, Closed Block operations showed some underlying volatility this quarter in long-term care, although earnings results for this segment remain within our expectations. These results are a continuation of the trends we've seen for the last several years, trends that have accelerated in 2017. Our strategy is a simple one, a singular focus on the employee benefits market, taking care of our customers at time of need and consistently executing on our plans. Over the years, we've built strong positions in the market where we compete. We've focused on what we're good at, helping people through difficult times in their lives, and this has enabled us to become a leader in employee benefits. We also pride ourselves on delivering consistency. While we know there will always be challenges and volatility in the marketplace, we've demonstrated an ability to execute and course-correct through whatever the external environment throws at us. A key to our success is a commitment to investing in our future. Customer expectations are only increasing, and we understand that these expectations are being set not necessarily by our peers in the insurance sector but by leading consumer companies across all industries. We're investing in capabilities that will enhance the experiences our customers have with us, and we're already seeing these investments pay off in persistency and effective risk management. As you've heard me say before as recently as last quarter, the quality of our people and the strength of our culture are the backbone of our company. The financial protections we offer mainly deal with people at difficult times in their lives in a very personal way. An empathetic positioning is critical to ensuring we deliver on the promises we make to our customers and, in turn, we will be a company that also delivers for our shareholders. Now I'd like to turn it over to Jack to take on some of the details of what was a very strong third quarter. Jack?
Jack McGarry: Thank you, Rick, and good morning, everyone. As Rick stated, the third quarter was another outstanding one for Unum. Our after-tax operating income per share of $1.09 is an increase of 11.2% over the year-ago quarter, with a strong balance between operational performance drivers and capital management drivers. Our after-tax operating income increased 7.6% in the quarter, the best performance in many years, while share repurchases contributed 3.6% to upper share growth. Unum U.S. continues to be the primary driver of this strong performance with another excellent quarter highlighted by improved sales trends, good premium growth, favorable benefit ratios in each business line and lower expense ratios. All these trends are driving strong profit margins in an operating ROE of 16.6% for the quarter. Within Unum U.S., group disability produced an outstanding quarter, with before-tax operating income of $90 million, an increase of 5.4% over last year. Premium income increased 2.2%, and the benefit ratio improved to 76.7% from 78.6% a year ago. As expected, favorable incidence trends in LTD and lower prevalence rates in STD have more than offset the impact of the 50 basis point reduction in the discount rate for new claim incurrals that we implemented in the fourth quarter of 2016. The group life and AD&D line produced a strong quarter, with operating income of $60.1 million, an increase of 12.5% over last year. Premium income increased 4.8%, and the benefit ratio improved to 71.4% from 72.6% last year, primarily driven by lower incidence and average claim size in our group life product line. The supplemental and voluntary lines had a record quarter, with $108.3 million in operating income, an increase of 17.5% over last year. Premium income continued to grow at a healthy pace, with voluntary benefits line increasing 7% and the individual disability line increasing 2%, excluding the impact of the reinsurance treaty we entered into in the fourth quarter of 2016. In addition, the dental and vision line, which we acquired in August of last year, contributed $42.2 million of premium income versus $20 million last year. The improvement in operating income for the segment was driven by improved benefits experience in both VB and IDI, favorable expenses and favorable DAC development. Sales for Unum U.S. for the third quarter rebounded strongly, increasing 21.1% over last year. Sales were particularly strong for LTD, increasing 28%, STD increasing 76.9% and individual disability increasing 24.4%. We saw a decline of 1.8% in voluntary benefits sales in the quarter, primarily driven by volatility in the large case sector. For the year-to-date, our VB sales were up 12%, and we expect to see better growth in the fourth quarter, given our pipeline of activities. The addition of the dental and vision product line contributed $9.7 million of sales versus $4.5 million last year, and we continued to see a strong level of quote activity being generated in this product line. Persistency for our group product lines is lower than the year-ago levels, but has improved relative to the first half of the year and remains well within our expectations. Unum U.K. continues to be impacted by the uncertain environment brought on by last year's Brexit vote. Third quarter operating earnings reflect this challenge, declining by 6% from last year to GBP 20.2 million. Our premium income did pick up slightly this quarter, increasing 3.6% in local currency due to growth in the in-force block resulting from prior-period sales and stable persistency. That Unum U.K. benefit ratio was 74.9% for the third quarter, an increase from 71.8% last year, driven by higher claims incidence and lower claim recoveries in the group disability line and the impact of inflation-linked increases in benefits as well as the 80 basis point reduction to our discount rate for new claims, which we implemented in the first quarter. Risk experience in the group life line improved over the year-ago quarter due to a lower average claim size. Although the quarter was an unusually difficult one for Unum U.K., we believe that business will continue to feel pressure as the U.K. works through the uncertainty surrounding Brexit. Unum U.K. sales for the third quarter declined by 14.2% in local currency. This decline was driven by lower group long-term disability sales, which was only partially offset by sales growth in the group life and supplemental line, particularly dental and group critical illness. Looking now at Colonial Life. We saw another strong and steady quarter, with operating income of $81.7 million, an increase of 3.4% over last year. Premium income growth remains healthy, increasing 6.9%, driven by the positive sales trends we've seen over many quarters as well as stable persistency. Colonial Life's benefit ratio ticked up to 51.8% this quarter from 51.6% last year, with less favorable experience in the cancer and critical illness lines, offsetting improved experience in the life and accident, sickness and disability lines. Sales momentum for Colonial Life continues to be positive, increasing 2.6% over the year-ago quarter. Sales growth in the core commercial segment helped to drive this growth, along with increased sales in the public sector. We also continued to see good trends, with new account sales increasing 4.7%, while sales to existing accounts increased 1.5%. Persistency for Colonial Life remains stable at 79%. Finally, for the Closed Block, operating income declined to $26.6 million in the third quarter from $28.6 million in the year-ago quarter. In the individual disability line, the interest-adjusted loss ratio was 82.4%. This is slightly unfavorable relative to last year's 81.5%, but continues to be in line with expectations. For long-term care, the interest-adjusted benefit ratio was 93.3%, above our expected range of 85% to 90%, although slightly favorable to last year's 93.8%. As you may recall, last year's benefit ratio was elevated due to the impact of a large group case that moved to an individual ported status. The elevation in the current benefit ratio is largely attributable to unusually unfavorable policyholder lapses. Although we'd rather than not see this volatility, we're encouraged that the underlying claims experience was consistent with historical norms. Other important factors related to long-term care line continued to trend favorably this quarter. Our new-money yield in the quarter was again above our 5% assumption, just as it has been since resetting of that assumption in the fourth quarter of 2014. In addition, we continue to make good progress with rate increases on the in-force business, with several additional approvals, keeping us on pace to achieve, if not slightly exceed, the rate increase expectations assumed in our reserves. We continue to have productive discussions with our state insurance departments, and it's worth noting that other than the small amounts outstanding from our 2014 filings, no future rate increases are built into our current reserve assumptions. With that said, we plan to actively pursue the future rate increases were justified. So overall, we had a very strong financial and operating results this quarter. We continue to see strong risk results across the majority of our businesses, coupled with favorable top line growth. We also experienced very favorable expense trends this quarter across all 3 of our core business segments. While we are actively managing our expense base, I would caution you that some of the benefit this quarter was a timing issue and is not likely to recur at the same level in the fourth quarter. Our financial performance has also continued to generate strong statutory earnings for the company. Net income on a statutory basis totaled $190.3 million this quarter and has totaled approximately $850 million over the trailing four quarters. This creates significant financial flexibility for us, as the weighted average risk-based capital ratio for our traditional U.S. insurance companies is now at approximately 410% and our holding companies' cash position, excluding amounts committed for subsidiary contributions, is $771 million. Both of these metrics improved relative to the second quarter, while we again repurchased $100 million of our shares, consistent with the trend of the past several quarters and in line with our outlook for the year. Wrapping up, I'm very pleased with our third quarter and year-to-date performance. As we look to close out 2017, we expect full year after-tax operating income per share growth to be at, if not slightly above, the upper end of the 5% to 8% range we established last quarter. Now I'll turn the call back to Rick for his closing comments.
Rick McKenney: Great. Thank you, Jack. And as you can tell, we're very pleased with our third quarter and year-to-date results. We think our strategic position in the employee benefits marketplace remains very strong, and we are successfully translating that into solid operating performance with - on top of our strong financial foundation. So now I would like to move to your questions. I'll ask Diana to begin the question-and-answer session. Diana?
Operator: [Operator Instructions] We'll go first to Jimmy Bhullar with JPMorgan.
Jimmy Bhullar: First, had a question on just the voluntary and supplemental business. I think earnings in this segment, $108 million, that's the highest level you've had as far back as I can see in your history, and it's significantly higher than it's been in the last few quarters. So what's your view of the sustainability of that number? And I'm assuming that there might be that expense benefit you referred to in there as well.
Rick McKenney: Great. Thanks, Jimmy. We'll have Jack.
Jack McGarry: So the earnings were higher than we've seen in a while. Two factors that, I think, are drivers, the growth in the business. It's growing 7% a year. So of the 17% growth, that would be 7% of it. We did have a favorable quarter from an expense perspective, favorable from risk and favorable from DAC development. I'd say those factors were kind of pretty consistent levels. I think they may settle back. Even though we had very favorable expenses in the third quarter, we've been on a good trend as a company with our expense ratio, and we'll continue to actively manage expenses going forward. So I'd say, it's probably a little higher than the go-forward rate. But we're really pleased with the performance of the line.
Jimmy Bhullar: And then you've contributed to the New York long-term care block, I think, every - most of the past few years, a little bit each quarter - each year in the fourth quarter. Should we expect a similar contribution this year as well?
Jack McGarry: Yes, I would think it'll be of a similar magnitude.
Jimmy Bhullar: And then lastly, can you give us some sort of initial indications on this consumer reception due to new medical stop-loss product? And what do you see as sort of the long-term growth potential in that market for you guys?
Rick McKenney: Mike?
Mike Simonds: Yes, sure. So we entered the market officially quoting 1/1/18 effective business a little over 60 days ago. And we've actually been very positively surprised, actually, with the rapid growth in quote activity. So those decisions tend to be made very close to the effective date. So we'll have to wait and see how the fourth quarter plays out. But we're excited about that as an extension of our brand and a new way to leverage the distribution relationships that we have out there in the market.
Operator: We'll go next to Suneet Kamath with Citi.
Suneet Kamath: First question just on the M&A environment, given the large transaction that was recently announced. In the past, when we've seen deals like this, has that, historically, been a pretty favorable environment in terms of your ability to win business as a major competitors in transition?
Rick McKenney: Yes. Let me give you a couple of comments on that, Suneet. First of all, when you think about M&A and us, it's something we'll continue to be active in. It's something that we'll be disciplined on. I think it's probably the first and foremost. So I think I'd mentioned that about the environment. You mentioned a specific deal that was announced this week. I mean, I won't get in too much detail, but these are two competitors that are consolidating in the large case market. And I'd say, they have similar capabilities. And so when you see that out there, I think that we're going to continue to be very competitive in that space. Ultimately, we'll see in the market. But I think that the team out there today on a large case basis has really been on a good run. We're providing a lot of value to our customers, and we'll continue to do that.
Suneet Kamath: And then on the Unum U.S. business. Can you remind us just how much of a drag are you seeing in the benefit ratio from the discount rate adjustment you made last year? And where are your thoughts in terms of potentially making a similar adjustment in 2017?
Jack McGarry: Yes. So I think we said the discount rate adjustment was worth about $7.5 million a quarter when we made it last year. We expected that the favorable trends we're seeing both in recoveries and incidence would more than offset that. That's played out according to our expectations. We feel comfortable at least at this point with where our investments are and where our interest rates are. We're still doing our reserve adequacy work, but there's nothing there that would lead me to suspect we would take another action this year.
Operator: We'll take our next question from Tom Gallagher of Evercore ISI.
Tom Gallagher: The first question is the individual disability in terms of the voluntary and supplemental segment. 48% benefit ratio was quite good. Do you see that more as a bit of an anomaly? Or is there an analogy here in terms of what you've seen on the group disability side for the last several years? Or maybe we start to see a significant improvement versus where you've been in recent history? Anything going underlying with regard to that business?
Jack McGarry: Yes. I don't think we see anything underlying that. That benefit ratio has hovered in there around the 50% mark for a while. It is a smaller block than LTD block, so it's subject to more volatility than the LTD block. But we're very pleased with this quarter's results. We've been very pleased for a long time with the results that block has been generating, and I wouldn't say there's anything unusual about it.
Tom Gallagher: But I guess, Jack, would it - would you assume it's going to be back in the 50s? Or do you think there is - is there anything that you're seeing underlying the claims trends that might suggest you could stay in the 40s or at least below 40%?
Jack McGarry: I'd say, it's slightly under 50%. I think kind of the historical trend is probably a good marker for it.
Tom Gallagher: And then next question. Just you had good sales growth in group, I guess, based on where you're pricing new business now. Do you think you can sustain the favorable margin you've had overall in group? What do you think as you look out over the next couple of years with those? Based on your pricing new business, would there be any pressure on margins? Or do you think you can sustain them?
Rick McKenney: Mike?
Mike Simonds: I would say, the quick answer is, we do feel comfortable about that. If I take you back a year ago, we guided to about 8% to 10% sales growth overall. And part of the reason that we felt like sales momentum would pick up is some of the new capabilities we're putting in the market like our Starmount dental offering. But it was also because we felt like the pricing level that we took into the year didn't need an increase, and that was for the first time in several years. And what we've seen emerge over the course of the year is a reasonably favorable market. We feel real confident that the prices that we have put out there reflect the underlying economics, the risk and the interest rates like Jack alluded to. So while 3Q sales are our smallest sales quarter of the year and, therefore, subject to a bit more volatility, I'd say, the outlook to continue to drive strong sales growth and maintain margins is good.
Tom Gallagher: And then just final topic on long-term care. Just the - Jack, I heard your comments on, it sounds like, you feel comfortable heading into the fourth quarter review. Is there - just looking at the fact that it's year-to-date, on the benefit ratio side, been above 90%. Is that - is the higher than 90% threshold not really the right way to think about it? Is it that there is significant offset from rate increases? How would you think about dimensioning that? Because - I guess, my question is, if you look into 4Q and if the benefit ratio remained elevated north of 90%, would that be a trigger or not necessarily?
Jack McGarry: Yes. I don't think what happens in the fourth quarter is going to be a trigger. Essentially, we're through our Res work before the fourth quarter is actually finalized. So this is a long-term business. In fact, no single quarter is going to drive what happens to it. I'd say that the loss ratio has been a little bit elevated. But on the other hand, our interest margin and the success we've had in placing new money has been higher than we anticipated in 2014 and has done a lot to kind of offset some of that impact.
Tom Gallagher: And just a follow-up on that. So is it fair to say - I think you've requested a fairly big rate increase in - for California, I think, 75%. Is that not even a relevant factor when you think about your reserve review? Or does that play into it at all?
Jack McGarry: No, it really isn't. I'd view that more as upside than anything. I don't think we need California to hit the assumptions that are in our reserves. But we've been very active in speaking with California, and we're hopeful we'll get a rate increase there. But it's not a reserve element.
Tom Gallagher: And then if I could just sneak one more in. Actuarial Guideline LTC, any initial thoughts on impact for you or the industry related to that?
Jack McGarry: Yes. I can't talk for the industry. I don't anticipate any impacts for us. We've always tested our long-term care on a stand-alone basis. So that's nothing new for us. In addition, our treatment of both rate increases as well as investment results have always been consistent with the actuarial guidance. We think it's positive that the guidance - we support the goal of having better consistency and clarity around actuarial matters, but we feel really good about where we are and don't anticipate any changes as a result.
Operator: We'll take our next question from Mark Hughes with SunTrust.
Mark Hughes: Couple of quick ones. Any comment on the natural growth in payrolls in the quarter? Are you seeing any uptick there? And then secondly, the Colonial sales were a little bit slower this quarter. What do you anticipate going into next year?
Rick McKenney: Mike, do you want to start on natural growth, and then we'll ask Tim.
Mike Simonds: Yes, sure. Mark, I'd say, pretty consistent with what we've seen over the last couple of quarters, we are seeing a bit of natural growth come through a bit, more so on the salary side, given our mix, than on the job growth, but a bit muted still from what we've seen in prior expansion cycles. I would note, though, that on the earned premium side, persistency continues to improve a bit quarter-over-quarter. And as we look forward, I'd expect that sort of slow improvement to continue as well.
Rick McKenney: And, Tim, do you want to mention on Colonial Life and sales growth?
Tim Arnold: Sure, yes. Thank you, Mark. We feel great about the market opportunity. We still feel very good about our value proposition. We like the strength and effectiveness of our team and our distribution system. We've had a strong year so far and despite the third quarter headwinds, which were largely driven by our large case segment as well as some weather-related issues, we feel good about the year, and the leading indicators we're looking at are positive for the remainder of the year.
Operator: We will take our next question from Alex Scott with Goldman Sachs.
Alex Scott: Had a quick one on the long-term care, I guess, more specifically, on the lapse rates. Some of the disclosure in the statutory filing suggests that you're running a little less favorably on lapses compared to peers. I was just wondering if you'd already adjusted some of those. I think some of the reserve work in the past has been related to interest rates, but I wasn't sure some of it was already reducing lapse rates.
Jack McGarry: Yes. I mean, at this point, this is one quarter. It was fairly unusual. I think we're comfortable with where our lapse rates are. There - our assumptions are under 1%, which is pretty consistent with where, I think, the industry is. So there's nothing shocking in here. There's a lot that goes into the statutory filings on long-term care, mortality and lapses and other things. So it's hard to single out a single assumption based on that information.
Alex Scott: And one other quick one on Unum U.K., the discount rate change that you made there. Can you quantify the impact that, that will have on earnings going forward?
Jack McGarry: I mean, it's already in there, so it's already having the impact on earnings for the first 3 quarters. It was kind of a - it was in the neighborhood of around GBP 2 million a quarter.
Operator: We'll go next to Erik Bass with Autonomous Research.
Erik Bass: Both you and the industry have been experiencing favorable underwriting results in U.S. group for a number of quarters now. I guess, do you think this is just a function of disciplined pricing in recent years and the improving economy and employment picture? Or has something else changed in terms of risk assessment or claims handling that's improving results?
Rick McKenney: Mike, do you want to take that?
Mike Simonds: Yes, sure. So I think it's probably much more the former than the latter. We have seen a bit of improved submitted incidents kind of very gradually over the last 8 or 10 quarters. But when I look at industry reports on profitability and the like, it does appear that pricing and underwriting discipline as some players have had to recover has been a driver as well.
Erik Bass: And I guess, on that note then are you seeing any evidence of people factoring in recent favorable experience in their pricing? I know this sort of gets at what Tom was asking to. But do you view margins, I guess, broadly sustainable at these levels? Or is there kind of risk that we're approaching sort of a cyclical peak?
Mike Simonds: I'd say, it's insurance, so you can't predict too far out. But where I've got a line of sight to, I would suspect and believe that margins won't come under any unusual kind of pressure over the coming periods. So that's probably not going to be a big issue.
Erik Bass: So you're not seeing any sort of increased competitiveness or aggressiveness in the pricing at this point?
Mike Simonds: It's a pretty competitive market, but I think that's kind of the norm that we are accustomed to.
Operator: We'll take our next question from Humphrey Lee of Dowling & Partners.
Humphrey Lee: A question on the Unum U.S. I think in Jack's prepared remarks, he talked about the voluntary benefit sales is looking good in the coming fourth quarter. And I was just wondering if you can elaborate a little bit in terms of what you are seeing for that line of business?
Mike Simonds: Yes, we've really been pleased with voluntary benefit sales. We had a bit of an off quarter. It's a small quarter for voluntary benefits. We did see good growth in the core and the number of clients added. It was the large case VB market where we see a tick down, but on a year-to-date basis feel really good about double-digit sales growth. And like pretty much every line in the portfolio as we look forward and work through fourth quarter, which is when a lot of business comes in for 1/1 effective dates, we feel good about some momentum in voluntary.
Humphrey Lee: So would you say the quoting activity is better than last year level or is it comparable?
Mike Simonds: I'd say we are seeing a bit increased number of proposals. And we're seeing deeper, broader interest in some of the supplemental lines as well. So your standard group insurance lines have disability and life insurance has a tick or 2 of growth there. But a lot of increased interest in supplemental health voluntary lines in the new dental and vision lines of business and I mentioned quote activity in stop-loss is ticking up.
Humphrey Lee: And then just a question on long-term care. So for these unfavorable lapses, do you see any kind of concentration in vintages or whether that's individual or group? Just any additional color that you can share.
Jack McGarry: I mean, the impact was more individual than it was group. But within the individual, there was no specific vintage. But it was an individual based - the lapse dynamics in the group business are very, very different than the individual and continued kind of on track with where they had been.
Operator: We'll take our next question from Sean Dargan with Wells Fargo.
Sean Dargan: Jack, just going back to the Closed Block long-term care. So it sounds like you've been putting new money to work at higher yields than you assumed in 2014. Can you remind us what, I guess, the slope of your longer-term interest rate assumptions are? Do they move higher at some point?
Jack McGarry: Yes, they do. So in 2014, we assumed new money rates would be 5% for the ensuing 4 to 5 years and then over the following 5 years would grade back toward a long-term average, which is in, all-in rates, in the high 6s, the 6.50%, 6.75% range. We've exceeded that by a healthy margin in each quarter since 2014. But next year, we'll start to hit the point where those assumptions are expected to start grading upward. We actually are encouraged by the march of the treasury yield over the last quarter or 2, which is good to see. It's approaching where year-end 2016 was.
Sean Dargan: And what are you buying to support that block? Is the securities different than what you have backing other liabilities?
Jack McGarry: I mean, it's somewhat of a different mix. It's longer term. So we're out at that 30-year rather than the 10-year that most people are focused on. We do have some alternative investments back in the line as well and some high yields. So it's longer. It's probably a little bit lower on the quality side from high yield than perhaps our other book. But overall, we're very comfortable with our high-yield exposure. We're comfortable with our alternative exposure, which we think is probably lower than most of our competitors and feel good about the performance of the portfolio.
Sean Dargan: And then I just have a modeling question on Unum U.S. supplementary and voluntary. So you had a number of favorable items, but the - how should we think about the DAC amortization going forward? Because that seemed very low.
Jack McGarry: Yes, it was. Frankly, it has a lot to do with who persists and who terminates. So overall persistency wasn't out of line with the voluntary benefits. But the persistency, the people who terminated and cases that terminated tended to be kind of older cases where the DAC had already been written off. And we had more favorable persistency on newer cases where they still had a hefty DAC balance going forward. And so it was more about where - the location of where the lapses took place than it was overall lapse.
Operator: With no further questions, I'd like to turn the conference back over to management for any additional or closing remarks.
Rick McKenney: Great. Thank you all for taking the time to join us this morning. We do look forward to seeing many of you at our outlook meeting, which will actually be in New York on December 13. We'll take you through a good look into 2018 and all other things that we're working on. So we hope you'll join us there. And Diana, I guess, that completes our third quarter 2017 conference call.
Operator: Thank you for your participation. You may now disconnect.